Operator: Good day, and welcome to the Q1, 2021 Flowserve Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I'd now like to turn the call over to your host, Mr. Jay Roueche, Vice President of Investor Relations and Treasurer. Please go ahead, sir.
Jay Roueche: Thank you, Angela, and good morning, everyone. We appreciate you participating in our conference call today to discuss Flowserve's first quarter 2021 financial results. On the call with me this morning are Scott Rowe, Flowserve's President and Chief Executive Officer; and Amy Schwetz, Senior Vice President and Chief Financial Officer. Following our prepared comments, we will open the call for questions. And as a reminder, this event is being webcast, and an audio replay will be available. Please also note that our earnings materials do and this call will, include non-GAAP measures and contain forward-looking statements. These statements are based upon forecasts, expectations and other information available to management as of May 4, 2021, and they involve risks and uncertainties, many of which are beyond the company's control. We encourage you to fully review our Safe Harbor disclosures as well as the reconciliation of our non-GAAP measures to our reported results, both of which are included in our press release and earnings presentation and are accessible on our website at flowserve.com in the Investor Relations section. I would now like to turn the call over to Scott Rowe, Flowserve's President and Chief Executive Officer, for his prepared comments.
Scott Rowe: Thanks, Jay, and good morning, everyone. Thank you for joining our first quarter earnings call. We are pleased with our strong start to 2021. Flowserve's adjusted EPS of $0.28 increased over 47%, compared to last year's first quarter. And our bookings for the first three months in 2021 were up by over 16% compared to the average of last year's final three quarters. We are especially encouraged with this performance given that our first quarter results are traditionally lower. Given what we saw in the first quarter, we believe that we are off to a strong start in 2021. In the last two earnings calls, we indicated that we believe our end markets are well-positioned for a post-pandemic recovery. And our first quarter results support this belief. Although the various regions and countries we serve are on different trajectories, in terms of vaccinations, infection rates, return to mobility and overall economic recovery, we are confident that the world is making steady progress, as economies emerge from this global pandemic. As a result, we have started to see these green shoots of activity, translate into sequential bookings growth. Assuming vaccines continue to roll out globally, and COVID issue subside without new setbacks, we are confident in our ability to deliver substantial year-over-year bookings growth in 2021. With an improving environment, combined with our Flowserve 2.0 growth initiatives, we were encouraged to book $945 million in the first quarter, which represented over 15% growth sequentially, and was driven primarily by increased MRO and aftermarket activity. As we moved through the quarter, our bookings by month tracked the overall pandemic progress. January was slow, February improved, but was impacted by severe cold weather in the Gulf Coast. And March activity steadily increased. In total, our bookings growth this quarter exceeded our original expectations. The market inflection seems to have begun a quarter or two earlier than we had anticipated. While North America led the increased activity levels, we delivered sequential bookings growth in all of our served regions. In addition to increased aftermarket and MRO-related activity, we were pleased that project bookings levels approached approximately 85% of 2020s first quarter. We saw a number of smaller projects get awarded, with the largest of these in the $10 million to $15 million range. We also experienced good diversity in our end markets in geographic regions, which highlights the comprehensive nature of our reach and offering. These projects included a nuclear upgrade in Korea, a pipeline in Central America, a refinery in Mexico and a chemical plant in Asia. The impact of the February winter storms forced us to close our Texas and Louisiana operations for about a week. But we didn't see increased repair and replacement work in the storm's aftermath, which drove an estimated $20 million of incremental repair in replacement business, as we supported more than 30 customer installations in the region. Flowserve's QRC footprint and our proximity to impacted customers uniquely positioned us to assist them in getting back online quickly and efficiently. In addition, our channel partners and distributors also received unplanned storm-related business from a variety of in markets, including water and power, that should benefit us in future periods as they reorder and restore their inventory positions. I want to, again, recognize and thank our associates in the region for their continued focus on our customers, with extreme weather impacted many of our team members personally. Despite damage and power outages to their own homes, our associates were committed to providing the necessary equipments and services to support our customer base and restore their critical operations. I'm very proud of the number of phone calls and notes I received from our top customers, thanking Flowserve and our associates for supporting them through this difficult time. We are confident that helping our customers in a time of need will result in stronger relationships, and increased future business for Flowserve. There's still work to be done at some of our customers facilities to restore their operations to normal conditions. We anticipate additional bookings at about the same level as we saw in February and March to continue throughout the second quarter, related to the storm impact. Turning now are end markets and booking outlook. Our discussions with customers indicate increasing optimism. Rising utilization levels across industrial assets should result in an increase in their spending levels to maintain uptime, and address pent-up maintenance activity that was deferred throughout 2020. We continue to believe that the aftermarket in MRO will lead the early phases of their recovery throughout the year. Project activity is also beginning to pick up, and we expect this to increase as the year progresses. Currently, our project funnel is about 12% higher than a year ago. And the compare period includes many of the projects that were placed on hold due to the pandemic. We expect many of these delayed projects to progress toward funding in the coming quarters. Opportunities are apparent across all end markets, but we expect general industry in chemical projects to leave the return to growth in a recovering economic environment. In conclusion, it was a strong start to the year, both in our bookings and financial results. We believe our end markets remain well-positioned to benefit from the recovering economic environment. While we expect to see COVID flare ups in some regions, like what we're seeing in India today, we are optimistic that with increasing vaccinations, the world is beginning to move in the right direction, which will ultimately help support our ability to deliver bookings growth. We're very pleased with our financial results in the first quarter, our adjusted EPS was up significantly compared to last year. And the margins we delivered and our SG&A levels continued to reflect the benefit of the decisive cost actions we took in 2020, and the ongoing Flowserve 2.0 Transformation Program. I'll now turn the call over to, Amy, to cover our financial results in greater detail.
Amy Schwetz: Thanks, Scott, and good morning, everyone. For the first quarter, we delivered solid results including an adjusted EPS of $0.28, which represents an increase of nearly 50% versus prior year. On a reported basis, EPS of $0.11 included $0.08 of realignment, $0.04 of costs related to early retirement of debt, and $0.05 of below the line FX currency impact. As a reminder, with our focus on improving the quality of our earnings, we are now including 2021 transformation costs in our adjusted earnings, in contrast to prior years when this expense was adjusted out. First quarter revenue of $857 million was down 4.1% versus the prior year, primarily driven by the 10% sales decline in original equipment, including FPD's 15% original equipment decrease. We were pleased to see modest aftermarket sales growth as revenue of $450 million increased 2% with both FPD and FTD contributing. Shifting to margins, our first quarter performance was largely driven by the significant cost actions we took in the middle of 2020, as well as ongoing transformation-driven operational improvements, and a 400 basis point mix shift towards higher margin aftermarket revenue, partially offset by increased under absorption. Adjusted gross margin of 30.4% was roughly flat versus prior year and the sequential quarter, driven by FPD's 60 basis point increase, offset by FCD's 170 basis point decline, both as compared to 2020 first quarter. On a reported basis, first quarter gross margin decreased 50 basis points to 29.3%, due primarily to absorption headwinds and higher realignment costs versus the first quarter of 2020. First quarter adjusted SG&A decreased $34 million to $194 million versus prior year, and was largely flat on a sequential basis. As a percent of sales, first quarter adjusted SG&A declined 290 basis points year-over-year. The decisive cost actions we took in mid-2020, and our ongoing focus on cost control drove the improvements. Reported SG&A decreased $47 million versus prior year, where in addition to cost action benefits, adjusted items were down $13 million, compared to the first quarter of 2020. We delivered a $20 million increase in adjusted operating income in the first quarter, a strong performance considering the $36 million decrease in revenue. As a result adjusted operating margin improved 250 basis points versus last year to 8.1%, driven by the previously mentioned cost actions, ongoing operational progress and the mix shift to higher margin aftermarket products and services. FPD and FTD improved 230 and 60 basis points to 10.3% and 10.4%, respectively. First quarter reported operating margin increased 380 basis points year-over-year to 6.5%, including the roughly $12 million reduction of adjusted items. Our first quarter adjusted tax rate of 23.2% is in line with our full year guidance of 22% to 24%. Turning now to cash and liquidity. Our first quarter cash balance of $659 million decreased $436 million compared to the year-end 2020 level. The primary use of cash was for debt reduction, with the $407 million payments to retire the remaining portion of our euro note. Additionally, we returned over $30 million to shareholders through dividends and share repurchases. Our ability to both pay down debt and return cash to shareholders underscores the strength of our balance sheet, and our focus on value creation through capital allocation. Total debt at quarter-end was $1.3 billion compared to over $1.7 billion at year-end. Compared to last year's first quarter, gross debt is down over $50 million, while the cash balance is up over $35 million. Flowserve's quarter-end liquidity position remained strong at over $1.4 billion, including $742 million of availability under our undrawn senior credit facility. First quarter free cash flow was approximately $25 million, and for the second year in a row and only the third time in the last 15-years, Flowserve delivered positive free cash flow in the first quarter. This trend is an indication that our focus on cash management is delivering results. As is typical, working capital was a use of cash in the first quarter of $40 million, driven primarily by a reduction in accounts payable. Inventory was also a use of $17 million. But I was pleased that our focused and improved processes to control inventory, drove a 60% reduction versus last year's first quarter use. Accounts receivable and contract liabilities were sources of working capital cash this quarter. Taking a look at primary working capital, as a percent of sales, we saw a 110 basis points sequential increase to 29.6%, again, driven primarily by accounts payable and a lower top-line. Although, our backlog increased over $30 million, we were pleased that inventory, when including contract assets and liabilities, decreased $4 million versus the fourth quarter of 2020. As we continue to drive the integration and utilization of enterprise wide business planning systems across our operations and functions, we have direct line of sight on consistent improvement in our working capital metrics throughout the year. And importantly, we remain confident in achieving free cash flow conversion in excess of 100% in 2021. Turning now to our outlook for the remainder of 2021, based on our strong first quarter bookings and visibility into improving end market, Flowserve increased and tightened our adjusted EPS guidance range for the full year, to $1.40 to $1.60 per share, and reaffirmed all other guidance metrics. We now expect full year 2021 bookings to increase mid-single digits versus our prior outlook of low single digits, and further expect the majority of this increase to occur in our aftermarket and shorter cycle MRO original equipment products, where associated revenue may be recognized in 2021. Based on the expected increase in short cycle activity, we now expect the revenue decline in the 3% to 5% range versus our initial guide of down 4% to 7%. The adjusted EPS target range continues to exclude expected realignment expenses of approximately $25 million, as well as below the line foreign currency effects and the impact of potential other discrete items, which may occur during the year. On a quarterly basis, we expect our adjusted EPS to increase sequentially over the course of 2021 as we see the benefit of our first quarter bookings flow through and from the expected increase in short cycle activity. With our Flowserve 2.0 transformation program, and its elements now embedded in our operations and functional themes, we expect 2021 transformation expenses of roughly $10 million, representing a decline of over 50% versus the prior year. As previously mentioned, we are now including these costs in our adjusted EPS guidance. Additional guidance components remain unchanged with expected net interest expense in the range of $55 million to $60 million, and in an adjusted tax rate between 22% and 24%. Lastly, looking at cash, as is historically the case, we expect free cash flow will be weighted to the second-half of the year, largely in the fourth quarter. Major planned cash usages this year include the recently completed retirement of our euro notes, and an expectation to return over $100 million to shareholders through dividends and share repurchases. We also intend to invest in our business as we return to the growth aspects of our Flowserve 2.0 program, including capital expenditures in the $70 million to $80 million range, which includes spending for enterprise wide IT systems to further consolidate our ERP platform, and support our transformation-driven productivity improvements. In conclusion, based on our first quarter performance, we are more optimistic than ever about the opportunities in 2021. Our end markets are likely improving at a rapid pace, our balance sheet remains strong, and our operational and cost discipline has us well-positioned for margin expansion and free cash flow generation, as revenues grow. Let me now return the call to Scott.
Scott Rowe: Thank you, Amy. I want to wrap up today with some comments around two key strategic priorities. Our ongoing Flowserve 2.0 transformation, and Flowserve will support energy transition. Let me first provide an update on our Flowserve 2.0 transformation progress. In 2020, the pandemic-driven downturn dictated that we focus heavily on cost reduction. We shifted our efforts and accelerated the cost reduction aspects of the transformation last year. Additionally, we continued to progress our strategy to improve our overall enterprise wide IT systems. These improvements and the overall rationalization are improving our visibility, streamlining our operations, and improving our overall productivity. All of these enhancements support the new Flowserve 2.0 operating model. As our new operating model takes hold throughout the enterprise, we expect to continue to deliver margin and productivity improvements throughout the business. As we look to fully embed the transformation into our operations by the end of 2021, I am confident that our Flowserve 2.0 process improvements will continue to provide benefit to Flowserve and our customers for years to come. All of the fundamentals are now in place to fully leverage the expected market recovery. During 2021, our transformation priorities are focused primarily on growth, including an improved customer experience, accelerated product innovation and further market penetration. With our strengthened operating model, we are also better-positioned to pursue value-added partnerships, and we are more confident in our ability to integrate potential acquisitions. An important aspect of Flowserve's strategy in the coming years will be driven by the expected growth investment related to energy transition. The energy transition theme is real. And we expect investments to rapidly increase in the near-term to support this global call to action. We believe Flowserve is well-positioned with our current portfolio to benefit from increased spending from our customers, to achieve their carbon reduction targets and energy efficiency goals. Energy transition has been at play for much of the last two decades, however, 2020 served as a pivotal year, and began first with COVID, then an acceleration of investments in alternative sources of energy, and further driven by social, political and regulatory changes. These multi factor dynamics are accelerating the transition, resulting in increased urgency across the industrial sector, and especially within the energy sector. Our approach to energy transition includes, first: supporting our existing customers and markets by delivering energy efficiency through systems, automation, uptime, and a life cycle viewpoint, second, we're scaling our flow control solutions for emerging and new value chains in gasification, carbon capture, hydrogen, energy storage, and non-fossil fuel energy sources. And finally, by evolving flow control into autonomous flow using data and science to monitor, diagnose, incorrect through built-in intelligence, utilizing our recently launched RedRaven platform. As part of our first quarter bookings, we participated in projects related to biodiesel, concentrated solar power, carbon capture and energy efficiency. And we believe that this is just the beginning. As an example, in the third quarter of 2020, we introduced a new liquid ring compressor, designed specifically for flare gas and other vapor recovery. This product positions us to support our customers greenhouse gas emission reduction goals, through the production of blue hydrogen and carbon capture. Since introduction, we have already received over $30 million of orders for the product, and we see growing demand for years to come. The more conversations I have with our customers about their energy transition plans, the more excited I get about the opportunities that energy transition can offer Flowserve. We are making good progress on developing our go-to-market strategy, and we are currently working closely with a few select customers to demonstrate and prove how our suite of capabilities can help them to drive efficiency and reduce emissions. In addition to our current customers, we also believe energy transition will provide opportunities across the industrial spectrum, including end markets where we currently have limited scale, like water, food and beverage, cement, steel, and mining. We expect the largest near-term opportunities for Flowserve will be helping our existing customers achieve improved energy efficiency, and reduced emissions. We believe that our flow control expertise across pumps, valves and seals, combined with enhanced data analytics can dramatically improve our customers’ energy consumption and reduce carbon emissions. We're also actively developing technology to expand our presence in other forms of energy, including solar, hydrogen, and lithium mining and processing. Overall, we feel that Flowserve is uniquely positioned to help our customers today, and grow our business through the energy transition. In January, we launched our RedRaven IoT offering, which can further instrument pumps, valves and seals to provide the capability to assist our customers, with a data-driven approach on how to improve their operations, increase asset uptime and reduce associated energy consumption. We are really pleased with the market's response to our IoT offerings. Since the rollout of RedRaven, we have been awarded on average one new contract or site installation per week, and the pipeline of interesting parties continues to build. As I conclude my prepared remarks, let me provide a quick summary. The first quarter provided us a better start to the year that we previously expected, with bookings inflecting earlier and at a higher level than we initially assumed in our February guidance. With an improved outlook for the remainder of the year, we feel confident in our ability to raise our adjusted EPS guidance. We have improved visibility to market growth and are confident in our ability to execute. We believe we are firmly in recovery from the pandemic-driven downturn. Additionally, many countries around the world are announcing significant infrastructure spending plans, that will inevitably include flow control equipment. And finally, we are confident in our longer-term outlook and see energy transition as a significant growth opportunity for Flowserve. After three years of hard work on our Flowserve 2.0 transformation program, we are now operating at a higher level, and we're well-positioned to transition to growth. I am confident that we'll capitalize on the opportunities ahead of us, and create value for our shareholders and other stakeholders. Operator, this concludes our prepared remarks. And we'd now like to open the call to questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Deane Dray with RBC Capital Markets. Please go ahead. And Deane, your line is open. [Operator Instructions]
Deane Dray: Yeah, sorry about that. Technical difficulties. Hey, congratulations on the quarter here. And it really looks to us at one of the inflections is this, that orders are coming backs, inflecting positively sooner. I know you've been talking about in mid to late 2021. And, if you could just point to the factors here, how much of this is just CEO confidence, vaccine, a little bit less COVID uncertainty? Is oil pricing better? Is that a factor here? And how much of a rebound are you assuming in these orders for the balance of the year? If we could start there, please?
Scott Rowe: Sure. Thanks, Deane, and glad you could join us today. $945 million was a really good number for the first quarter, and is certainly a little higher than what we had expected. We really thought kind of a Q2, Q3 is when we start to see the recovery, and we didn't expect it to be a 15% sequential pop there. But look, we're pleased with it. And I'd say it's just a number of factors that are all contributing here. One is, really is the sentiment and the mentality of COVID. And so as North America subsides, and Europe begins to make progress with vaccines and COVID case reductions, our customer base across all of the industries are now more confident in their ability to spend money. And then you see then other factor there, it's just the utilization of the different assets that we support. And so whether it's refining, petrochemical, chemical plants, food and beverage, pharmaceuticals, any of those are all higher than what they were a year ago. And so we're seeing good growth on MRO, we're seeing good growth on aftermarket. And then we're just seeing far more customer confidence than before. Now, there's still concerns, India's not in a good place right now. There are other parts of the world, Latin America that are still struggling through that. But I think that the path to getting out of this is starting to become far more sure than it was in the past. And so, we feel good about $945 million in Q1, we're excited about that number. And then as we project forward for the rest of 2021, we've got good visibility to a similar bookings number in Q2. And so, I wouldn't say, we do think we grow from this, but I don't think we're going to be growing dramatically throughout the year. But we like this level of kind of mid to low 900s that feels pretty good right now with our customer discussions and kind of what we're seeing. And then where we start to grow is when the larger projects begin to move forward, which we expect in later 2021 and early '22, then we start to move back into that $1 billion plus range of bookings on a quarterly basis.
Deane Dray: Alright, that's really helpful. And then my second question relates to this pivot to the energy transition that's happening. It looks like you guys are pretty well-positioned. And I'd be interested knowing what the mix is today? What percent of your revenues today are what you would characterize as, there's more energy transition leverage or whether it's gasification biodiesel solar, there's a long list? But what's the mix today? And are you ready to talk about a three to five year goal as to where you would see the mix out in that timeframe?
Scott Rowe: Sure, Deane. We're really excited about what's happening in this space. I would say, it is evolving incredibly fast. And so things are changing. And, a year ago, we saw this as a headwind, and now we see it as a tremendous opportunity. And so as customers are evolving, and trying to work through their own energy emissions targets and carbon reduction goals, and trying to achieve net zero, they're developing plans incredibly quickly. But today, it's a relatively small percentage. And we haven't come out and stated that publicly, I think we will in the coming quarters, as we shape up our strategy. And then we'll also put out a target in terms of what we think can happen. But, we did share a spending number back in February at one of the Investor conferences, when we talked about a $60 trillion number that was needed by 2030. And if you just put a small percentage of that at flow control, you get to some really big numbers. So 1.5% of flow control on $60 trillion is a $90 billion potential market for flow control. And so we really are sharpening our pencil. We're trying to figure out, exactly what that means for us and where we can play. And, it's a dynamic environment right now. And so you've got different operators pursuing different paths. But we feel really good that flow control will be a big part of whatever they do. And we believe that our offering across pumps, valves in seals, really does fit a sweet spot in terms of what they're looking for, right. So we can help on energy reduction with pumps are one of the largest consumers of energies in any large installation, valves play a significant part of their flow control and their optimization. And then the seals are really around emissions and controlling leaks, and on the gas side, any fugitive emission leaks there. So we feel like we're in a good place, again, relatively small today, but growing quickly. And as this market firms up and restart, continue to make progress on our strategy, we'll share our long-term goals and set some targets here.
Deane Dray: Great. Thank you for all the color.
Operator: Your next question comes from the line of Andy Kaplowitz with Citi. Please go ahead.
Andy Kaplowitz: Good morning. Nice quarter.
Amy Schwetz: Good morning, Andy.
Scott Rowe: Hey, Andy.
Andy Kaplowitz: Scott, we know many of your customers have deferred replacement over the last one and a half years. How much of that has to do with the uptrend and bookings? And do you see any larger projects is likely to come back for the rest of the year? I know you mentioned, $945 million that's kind of similar run rate you're in expecting Q2, which makes sense. But if you continue with your March run rate, is it possible that you could sustainably start to book that $1 billion number, again, that you've done in the past? Did you really need larger projects to come back to see that amount of bookings?
Scott Rowe: Sure. Let's just talk about the MRO and the aftermarket side. And so what we're seeing in these installations is that there was certainly some pent-up demand on maintenance and replacement. And just, as education for everybody, our MRO number that we talked about would include some of our new equipment. So these are replacement valves, replacement pumps, and we categorize those in OE, but we call it MRO. And so what's happening there is we're getting a lot of replacement work that we believe that's pent-up. And then also, as we think about utilization rates, all of our customers, almost across the spectrum are running their assets at a higher level. So again, we've got a lot of confidence that kind of a 900 number and above is going to sustain throughout the year. I'm not ready to commit to $1 billion yet, Andy, but I do think as projects starts to move in the back half of the year, then we can start to move up and creep into that territory. But, right now we feel good about a similar number here in Q2, and kind of this mid-900s does feel really good for the balance of the year.
Andy Kaplowitz: That's helpful, Scott. And then, can you help us think about debt and margin expectation now for the rest of '21? I know you've talked about SG&A for a while here, it's continued to be relatively stable. So, as you start to grow again, can you keep this sort of flattish SG&A? I think you're going still to 20% to 30% detrimental for '21. But how are you thinking about price versus cost and its impact on margin? And do you see a decent chance of segment margin expansion actually for both segments, like you had in the first quarter?
Scott Rowe: Yeah, I'll let Amy hit kind of the SG&A and margin side and then I can talk about price cost and what we are seeing there.
Amy Schwetz: Yeah. So Andy, as I indicated in my remarks, we do see an opportunity to grow earnings sequentially over the course of the year. And that's really a couple of things. If we look at the second quarter, we still think that there's going to be some under absorption that we're dealing with at sort of sub optimal volume levels. But if we make our way through the year, and we see the benefit of volume coming through, and particularly the mix of that volume coming through with some of our shorter cycle business, we see the opportunity to expand margins over the course of 2021. We're going to continue to control SG&A as tightly as we can. There is a lot of cost reduction that was built into the savings that you saw in 2020, and came through in 2021. Well over half of the benefit that we saw year-over-year was actually in headcount savings year-over-year. Now, there'll be some costs that creep back in as travel returns to normal, but frankly, we're viewing that as a nice problem to have. So we really see the ability to control SG&A quite well, over the course of 2021 as well. There's been a lot made you know in terms of input costs. And generally, we are seeing some of that creep in, but overall, our supply chain group has done a great job mitigating that over the course of a year. And from a supply chain perspective, we really see the concern being more around logistics, particularly given where some of the COVID hotspots are currently, then our inability to offset some of the cost increases that we're seeing.
Scott Rowe: Andy, I would add a little bit more on the inflation side. We're clearly in an inflationary environment with commodity prices. In fact, we saw a massive surge in Q1. Our view right now is that this is certainly peaked, and that it's relatively short-term with some speculation. And so we actually see this kind of come down and settle here in the back-half of the year. But as Amy said, I just want to call out, in Flowserve 2.0 the supply chain workstream was one of our largest efforts. We've been working on this for three years, and we continue to see some really good progress on supply chain. And so, even in Q1, it was a very slight net positive for us, I wouldn't call it a huge win, but we were able to offset a lot of the things that were happening. And we feel really good about continuing to make progress, as we rationalize suppliers, as we move more to proactive spend, as we start to do some of the things that good companies do on the supply chain. So, I feel good about that. And then as Amy said, the logistics and transportation is the one that is concerning, that was a negative for us in Q1. And we really don't see that subsiding here in Q2, or Q3. And then, if I hit the price side, 2020 was a difficult environment on pricing for us. And this is, across the flow service to our customers. And I really expect that the worst is behind us now. I think most of our customers or most of our competitors are seeing the increased activity. And so, I think pricing on our side starts to firm up. I don't expect to see that get worse. But you still have some of that pricing coming through the system. So we saw that a little bit imbalance here in Q1, we'll continue to see some headwinds in Q2. But as we book new work, we're starting to move our pricing up and we'll feel like we'll be in a much better position here at the end of the year.
Andy Kaplowitz: Appreciate the color.
Operator: Your next question is from the line of Nathan Jones with Stifel. Please go ahead.
Nathan Jones: Good morning, everyone.
Scott Rowe: Good morning, Nathan.
Nathan Jones: A couple of follow-ups actually here. On the increased under absorption comment, you did say that revenue declined slowed a little bit. So I'm little surprised that you're seeing increased under absorption in the first quarter. So if you could talk about that. And then does that imply that you need to take more costs out here? Or is it now carry those costs for the recovery? And then what does that imply for incremental margins once we returned to growth?
Scott Rowe: Sure. I can address that. What you see is with the lower revenue number in Q1, there's certainly some under absorption. And so our sales were down roughly 10%, and really that's more on the manufacturing side and the fixed assets that are supporting that. We did the aggressive cost out actions last year in Q2 and worked this way into Q3. And at this point, Amy said this, but we don't feel like we need to take any more aggressive nature on driving costs out. With that said, though, as some of our backlog comes down in our long cycle facilities, the revenue will continue to come down there into Q2 and Q3. And we will move our direct labor and the workforce at the sites down, as that backlog does come down. But really, I think you're given the bookings number, and given the discussion that we've already had this morning, we're kind of leaning in on making sure that we have the capacity and the ability to support our customers, as things move up. And, 15% growth sequentially is a big number. And so right now, I'm more concerned about our ability to keep lead times low and support our customers, than I am about taking additional costs out of the system. Now, I will say overall, right, we still have opportunity on roofline. We've talked about that in prior earnings calls, and we'll continue to systematically make progress on our overall manufacturing footprint. But, we're going to do that deliberately and systematically over the coming years.
Nathan Jones: And then any comment on -- if you're carrying this unabsorbed overhead what that implies on incrementals, as we get back to growth next year? I mean, I would think that would mean that should be pretty good.
Amy Schwetz: Yeah, I think a couple of things, Nathan. I think really the under absorption that that we're seeing is really, at this point on the OE side. And as we see that backlog continuing to build, even over the course of 2021, we're anticipating that the margins will expand, particularly by the time we get to the fourth quarter of the year. And obviously, this is all very dependent on mix, as we move our way through the year. But, as we talked about the first quarter in particular, just one thing to point out is that that from an adjusted perspective, really, the change in mix largely offset that impact of under absorption. So, as we build that backlog, we should have a nice opportunity to expand those margins.
Scott Rowe: Yeah, I'm really happy to talk about incrementals rather than decremental. But, what you saw last year was improved decremental from historical downturns. And everything we're doing with Flowserve 2.0 is focused on having better incrementals as we come up. And so, we're trying to create this operating model that works through the cycle. And I'm confident that we can have really good incrementals as we start to book some good work here.
Nathan Jones: Thanks. I have one specifically on pricing, and specifically on project bids. You're seeing very rapid inflation, have seen very rapid inflation. How do you protect those bids and the margins on those bids from the time you submit that bid to maybe the time it's accepted? Are they inbuilt contract mechanisms that adjust for the input costs there that protect you from some of these bids from that inflation? And then how do you manage the costs when you get a project bid? Where you're seeing this steep inflation, but it might be12, 18-months from book to ship?
Scott Rowe: Yeah. So, Nathan, really on the projects, that really is a lot of our engineer to order work. And so, we will work up those costs when we put the quota, or put the quota into our customer. And to your point that concern that is from time of quotes to time of award, how much changes there. And I think there's certainly some, but I'm not overly concerned with that. We typically will get hard quotes. And if anything, our teams do a really nice job as we start to get more certainty towards winning that work, then we're able to drive costs down rather than come up. And so, I'm not overly concerned with that. And then just the other thing I'd add as part of Flowserve 2.0 and partnering with our supply chain, we've got really good pricing contracts now that are long-term. And so, we've got some pretty good ability to project what the costing looks like. We can incorporate that into our cost plus modeling on the big projects. And, historically, we don't see a big deviation from what we do at the as bid to what we deliver on the third-party buyouts. So, while it could be a concern, I think it's more concerning for some others that have a much larger project business, and a longer cycle there. I'm not overly concerned about that for Flowserve.
Nathan Jones: That's really helpful. Thanks. I'll pass it along.
Operator: Your next question is from the line of Joe Giordano with Cowen. Please go ahead.
Joe Giordano: Hey, good afternoon, everyone.
Scott Rowe: Hey, Joe.
Joe Giordano: Hey, Scott, I appreciate the stuff you said about energy transition today. So I have two questions on that. One, I guess, how do you balance internally some finite pool of human and financial capital towards new applications like this, and servicing your existing applications and your legacy base, which are still going to be massive for like the foreseeable future?
Scott Rowe: Sure. What we say in our kind of tagline is we're going to support our customers today and through the energy transition. So, we really do think that we can do both. Again, this is an incredibly quickly evolving marketplace. And what I would say is our marketing technology, and our R&D teams are really starting to put a lot more effort around where our products fit, and how do we do this. And so the theme within our marketing and technology today is diversify, decarbonize and digitize. And all of the efforts that we're doing really fit in one of those three buckets. And so we're very, very focused on that. And then when you think about operations and installations, right, we've got long-term service contracts, we call it lifecycle agreements with a lot of these big installations. And with these lifecycle agreements our metrics around productivity, around uptime, and around other things that benefit our customers, but also can benefit Flowserve. So as we think about energy transition, one of the big things here is how do we help our customers drive energy efficiency in their operation. And we believe we're uniquely positioned to do that, because we've got this the highest energy consumers and the pumps. And then we've also got the ability to control flow with our control valves and our electric actuators. And so, we think that energy efficiency is a really nice add into our lifecycle agreements. And so those are a lot of the discussions that we're having now is to really come and partner with some select customers to say, hey, we'd like to help you with your energy efficiency goals, we're willing to put this in our life cycle agreement contracts, we're willing to take a performance-based approach to this. And if we deliver savings, we want to share in the upside. And so we're working on that now around energy efficiency, and it aligns exactly with what we're doing with our QRC network and our lifecycle advantage. And then, we also believe at a point in time, we can also pull in the carbon emissions as well, right. And so that would be kind of the next step is saying, okay, look, we're aligned on productivity, we're aligned on uptime, we're now aligned on energy efficiency, can we also get aligned on carbon emissions reduction. And if we do that, as part of our long-term contracts, we believe we can help our customers accelerate their transition. And then, we think that benefits Flowserve and our shareholders as well.
Joe Giordano: Yeah, that makes a lot of sense. And then kind of on a related basis, and I'll preface this by saying it does feel different this time. But, when you think about new applications, like, if I go back 10-years ago, people were going crazy about rare earths and uranium and stuff like that, and then no one cared for a long time. So like, how do you kind of think through that? And like, what are we doing for the next 10-years? And where do we really want to dedicate capital?
Scott Rowe: No, I, too, have lived through several of these. And, I think energy transition is real this time. And, I think, when you look at just the political and the social pressure around the world, I don't see this changing. And so we're not exactly sure what path it takes and how big hydrogen is a player and how green it is versus how blue. So, I think all of that will firm up over time. But I really believe that, certainly the energy industry and the industrial, folks are really focused on driving energy efficiency and bringing down their energy consumption. And, as a result, also driving down their carbon emissions. And so I think those two are absolutely going to progress. I think the transition to green hydrogen and some of the other things will take time, and we'll see how that plays out. But I think there's meaningful opportunity for Flowserve regardless, because all of these things have flow control and flow control solution aspects to them. And so, we think this is a big opportunity for us. We've been doing flow control solutions for 200-years in many different industries, and we think we can participate in that and participate in energy transition in a very meaningful way.
Joe Giordano: Thanks, guys.
Operator: Your next question is from the line of Turner Hinrichs with Goldman Sachs. Please go ahead.
Turner Hinrichs: Hey, guys, congrats on a solid quarter.
Scott Rowe: Thank you.
Turner Hinrichs: So on MRC's call last week, they noted inventories are pretty low and referred to modest inventory build for the remainder of the year. Are you all seeing any restocking going on currently? And how are you thinking about restocking going forward?
Scott Rowe: Sure. So MRC is a big customer of ours. And I'll just say, I was very surprised that their inventory level fell in Q1. And so, I'm pretty confident that we will not see that go down any further. And, I would say, we're not seeing any aggressive inventory builds. We're seeing some pretty steady order rates there. But when you look through our -- what is the role of a distributor, right, it's providing inventory and services at a point of location. And, quite frankly, they're much of a logistics company than anything else. And if our lead times are the same as their lead times, then their business model becomes irrelevant. So I actually think that they're at about as low as they can go, I think they start to come up from this point forward. We haven't really seen that at this point. But I really believe in Q2 and Q3, we start to see them to build stocks. I’d just say the other thing in North America and predominantly in the Gulf Coast is the winter storm did deplete their inventory levels. And so, I think that's part of the build as they -- part of the reduction is that they got a spike in demand, because of that the freeze in servicing some of their customer base. But I really can't see them going lower than they are today. And so I think this is actually a tailwind for us. And as we transition into Q2 and beyond, and at some point, they'll start putting some pretty significant stocking orders on Flowserve and other OEMs.
Turner Hinrichs: Great. Thanks. On geographic mix, I mean, I see Europe and Asia are both up double digits, while, North America is still down. Could you describe how you're thinking about just the geographic mix going forward as things normalize? And what the trajectory of different geographic regions could look like and sort of impacts that might affect that?
Scott Rowe: Sure. So our MRO and aftermarket business will be largely on COVID abatement and vaccine incoming out. And so as these parts of the world returned to mobility and economic growth, then we'll see our business start to come up. And so, I feel good about on the MRO and aftermarket side, I feel good about North America, I feel good about Europe, I feel good about parts of Asia. And so I think we see good growth there. Where there's concerns would be India and Latin America and South America where, I don't think we're going to see that side of the business come back in the next couple quarters. And then on the project side, primarily Asia Pacific in the Middle East for the larger projects, and those are the greenfield projects, or even expansions through existing aspects or existing facilities. And then, I think North America has got a pretty healthy project list that's going to start to take place here in the back half of the year. And so, I think any concerns on the geography would really be around India and the situation there. And then I think South America is going to be problematic for a few more quarters, until they get through the worst to COVID.
Turner Hinrichs: Great. Thank you. I appreciate the color.
Operator: [Operator Instructions] Your next question is from the line of [Indiscernible] with Jefferies. Please go ahead.
Unidentified Analyst: Hi, thanks for fitting me in. So, in FCD, OE bookings were 225, at least the highest level since the fourth quarter of 2019. Do you believe bookings can remain at this level? And if so, could sales actually be up year-over-year for this part of the business?
Scott Rowe: Sure. Yeah. So again, I think, our comments were largely around overall Flowserve, but I think they apply to FCD, as well. And so we think we can carry this level of bookings throughout the year. So, a lot of that was MRO-based, and so just replacement valves. And we had good geographic mix, even within FCD. So we feel pretty good about the outlook of FCD bookings. And to your point, if we can continue at this rate, we'd really like to see revenue increase year-over-year, and it's certainly within the realm of possibility. And we're starting to get close to having good visibility to revenue growth.
Unidentified Analyst: Great. And then just my last question, in response to Texas, you talked a little about that in the beginning of the call, but did you see a margin benefit from QRC in the parts business that could be non-recurring there? Thanks.
Amy Schwetz: So in general, I would that, our aftermarket business generates nice margins and we generally don't look at those times as an opportunity to increase margins. We view it more as an opportunity to enhance our relationships with our customers, and show that we can deliver real value to them based on our location and our intimacy with their sites. So, I don't necessarily see a margin expansion from the event other than then a slight mix shift, perhaps from OE to week aftermarket that we would generally see, but not necessarily in the pricing that we had for those services.
Unidentified Analyst: Great. Thanks for taking my questions.
Operator: And I'm showing no further questions at this time. Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and have a wonderful day. You may all disconnect.